Operator: Good day, and welcome to the ProPetro Third Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Sam Sledge, Director of Investor Relations. Please go ahead.
Sam Sledge: Thanks, Alison, and good morning, everyone. We appreciate your participation on today's call. As in the past, with me today are Chief Executive Officer, Dale Redman; and Chief Financial Officer, Jeff Smith. Yesterday afternoon, we released our earnings announcement for the third quarter ended September 30th 2018 which is available on our website at www.propetroservices.com. In addition, this morning we posted a presentation on our website that summarizes our results. Please note that any comments we make on today's call regarding projections or our expectations for future events are forward-looking statements covered by the Private Securities Litigation Reform Act. Forward- looking statements are subject to a number of risks and uncertainties many of which are beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to review our earnings release and the risk factors discussed in our filings with the SEC. Also during today's call, we will reference certain non-GAAP financial measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are included in our earnings release. Finally, after our prepared remarks, we will answer any questions you may have. So with that I'll turn the call over Dale.
Dale Redman: Thanks, Sam, and good morning, everyone. We appreciate you joining us for today's call. Building on what has been arguably the best year ProPetro's 13-year history, we are pleased to report yet another strong quarter both operationally and financially. In the past 18 months, our company has more than doubled our fleet capacity, even more important during this period of strong expansion we continue to keep the needs of our customer's front and center by maintaining and in many aspects improving our best-in-class performance. During the third quarter we continue to excel for our customers at the well side, and our teams efforts are reflected on our outstanding financial results for the period. While Jeff will go into more detail in a bit, I would like to provide just a few high level highlights for the third quarter. We generated total revenue of $434 million. We posted net income of $46.1 million or $0.53 per diluted share, which was 18% higher than the $39.1 million or $0.45 per diluted share for the second quarter of 2018 and we grew adjusted EBITDA by 8% from the second quarter to $103.4 million, which was a record level for the company. As we have discussed over the past year, we fully expected 2018 would be a year in which well side performance and efficiencies and being responsive to the needs of customers would begin to truly differentiate pressure pumping companies from one another. These characteristics are how we have done business since day one. So, they are ingrained in our thinking and culture. As I have said in the past it's part of our DNA. A differentiated customer centric business model was on full display in the third quarter as our performance was unsurpassed in the industry. Continued transition to pad development or manufacturing mode drove another period of increased zipper work, and as a result we saw high operational efficiencies during the period. We also saw a rapid increase in the use of West Texas Regional Sand by our customers as 57% of our sand pump by our fleet was sourced locally as compared to 35% in the second quarter. With even more regional and sand production coming online over the coming months, we expect this percentage to increase well beyond third quarter levels, as we take delivery on additional contracted volumes along with growing customer adoption of local sand. The transition to regional source sand also allows us to drive increased operational efficiencies for our customers as sourcing product closer to the well side immensely improved supply chain and related logistics. Turning our attention to fleet capacity; our average active fleet count during the quarter was 19 fleets or 860,000 horsepower, all of which remain fully deployed and highly utilized. Early last month we deployed our 20th frac fleet bringing our current active capacity to 905,000 horsepower. This fleet is working with a new customer under a long-term dedicated agreement. Looking at our cementing service operations during the third quarter, we deployed one new-build unit, which brings our total fleet size to 19 units. Later this year, we plan to build an additional unit, and continue to see substantial opportunities for growth in our cementing services and coiled tubing services during 2019. I will now turn it over to Jeff to discuss our detailed third quarter financial results. Jeff?
Jeff Smith: Thanks, Dale, and good morning, everyone. Looking at our sequential results for the third quarter as compared to the second quarter of 2018, revenue fell approximately 5.6% to $434 million from $459.9 million in the second quarter, contributing to the decrease was the increased adoption of cheaper regional sand compared to the prior quarter, leading to smaller ticket sizes. During the third quarter of 2018, 97.1% of total revenue was associated with pressure pumping services, which was consistent with the second quarter of 2018. Cost of services excluding depression and amortization for the third quarter was $320.1 million as compared to $351.9 million for the preceding quarter. The decrease was primarily due to the local cheaper sand volumes and the related savings. As a percent of pressure pumping segment revenues, third quarter pressure pumping cost of services fell to 74% form 77% in the second quarter . General and administrative expense was $12.8 million as compared to $14.2 million in the second quarter of 2018. The decrease was primarily attributable to one-time expenses inflating SG&A in the prior quarter. General and administrative expense exclusive of stock-based compensation and deferred IPO bonus was $10.5 million or 2.4% of revenue for the third quarter of 2018. Net income for the third quarter of 2018 totaled $46.3 million or $0.53 per diluted share versus $39.1 million or $0.45 per diluted share for the second quarter of 2018. Adjusted EBITDA increased approximately 8% to $103.4 million for the third quarter of 2018 from $96 million for the previous quarter. Adjusted EBITDA margin for the third quarter of 2018 was approximately 24% as compared to the approximately 21% for the second quarter of 2018. The primarily driver for this improved margin was the higher percentage of local sand pump of our total sand usage along with an increase in lower price contracted volumes available to us as compared to the second quarter. Turning to the balance sheet and capital spending, we ended the third quarter with cash on hand of $78.2 million and total debt of $89.1 million. During the period we incurred $74.2 million of capital expenditures which primarily reflected spending on our growth initiatives and maintenance capital. Maintenance CapEx fell from the second quarter, but was still higher than we expected. The excess was partially driven by our high level of efficiencies and operational throughput during the quarter. We expect maintenance CapEx to continue to normalize in the fourth quarter based on continuing maintenance CapEx initiative instituted throughout this year. Finally, total liquidity as of September 30th was $198.2 million including $78.2 million in cash and $120 million of capacity under the ABL. While all possible shareholder return initiatives remain on the table, proceeds from near term future cash generation will be prioritized toward debt repayment and to fund our previously announced growth initiatives. With that I'll turn it back to Dale for his closing comments.
Dale Redman: Thanks, Jeff. As we look to the remainder of this year and into 2019, we remain confident in our ability to exceed customer expectations while keeping our frac fleet fully deployed. Our differentiated operating model is squarely focused on providing our customers unsurpassed near and long-term performance which has served us well over the years. We believe this will continue to set us apart in the current environment and through cycles. During the third quarter, we once again saw outstanding operating efficiencies across our fleets. While this was clearly welcome and a huge testament to the collaborative efforts of our team and customers achieving the same levels of utilization, the efficiencies will be challenging given the typical seasonality due to weather and holiday downtime in the fourth quarter. As we look at the broader industry, it is clear to see that the Permian is the premier resource play in North America and we believe it will remain one of the most active regions in the world for decades to come. And with a 100% of our frac operations focused on the Permian and our long-standing relationships in the region, we are in a great position to capitalize on long-term opportunities. Through the lands of our work here in the Permian, we have seen some remarkable transitions over the past several years. This includes a material increase in pad development, lateral lengths, completion volumes and working day. All of which have produced new and different challenges for pressure pumpers. All that said we could not be more proud of how our team has navigated and quickly adapted to the operating in the new normal of manufacturing mode. We look forward to their continued innovation as we proactively address the evolving needs of our workforce and blue-chip customer base in a manner that will allow us to quantifiably show our value proposition to all current and perspective perpetual stakeholders. Structural change to the playing field is here and it is real. This mean that the players that are willing to partner and collaborate up and down the value chain to drive consistent returns for all involved will be successful. And we are proud to be leading the way in these efforts. We will now open it up for questions. Operator?
Operator: [Operator Instructions] Our first question today will come from Tommy Moll of Stephens.
Thomas Moll: So, Q3 looks good, across the Board, you've got record EBITDA per fleet full utilization versus the industry trends which were trending in the opposite and downward direction here. How much of your out-performance do you chalk up to your customer base being less impacted versus maybe your customers did slow their overall program and you all just made sure to be the last crew standing when cuts were made to the roaster?
Jeff Smith: Tommy, there are several things in your questions. I'll touch on couple of them. You've heard our narrative day one. I'll reiterate it again. Your customers matter. The other part of that is the collaborative effort that we talk about. We pride ourselves being in sync with whatever challenges that they're faced with. And I believe our team on a day-to-day basis is doing a fantastic job of listening to what those challenges are in front of our customers. And we pride ourselves on working for those people that in the best position for this manufacturing mode. And that's really at the heart of how we built the company and how we've aligned ourselves with those customers.
Thomas Moll: Dale, as a follow-up I wanted to touch on the local sand trends that you guys are seeing, clearly the adoption there is growing quarter-over-quarter, and it sounds like, it will continue to, do you see the from the operator perspective where the cost on sand is coming down pretty quickly? Does that mean that there may be more room to go in terms of the proppant load? We were potentially in the late innings under the old regime where they had grown for a few years running, but now that the cost of that sand is coming down so quickly, is there another leg here?
Dale Redman: Yes, I think, it's flat quarter-over-quarter. But I think what I would say that's going to be dependent upon how that company uses that savings on their well cost and that's going to be different with in between those particular ENP companies. So, I would not probably want to assume anything on that front. They'll either drill more wells with that savings, return capital or load more sand, I guess, that's how I would answer that.
Operator: The next question will come from Praveen Narra of Raymond James.
Praveen Narra: I guess as we think about 4Q '18 and then this into 2019, 2019 is obviously looks exciting, but a lot of your peers and some customers are talking about pulling back on 4Q '18. I guess can you help us kind of identify kind of a magnitude for what you're expecting for 4Q and then more importantly as we think about 2019, what's your customers are talking about when they're starting to go back to work and then to what kind of degree you expect to see that improvement?
Dale Redman: Each customer will navigate through Q4 based upon their particular situation. I think some of our peers have said in their quarterly calls that they're going to try to stay disciplined within free cash flow. Those that are in that position that are in our portfolio of customers will work with them seamlessly to make sure they meet their goals and keep that impact to a minimal on our side. Four things that as we look at what we'll be dealing within Q4, the normal seasonality with holidays, weather, we expect a one or two points from a utilization standpoint. And then, the budget constraints that you brought up that's that should be minimum and that's how we're looking at it.
Praveen Narra: So, as we see this going into 2019 some of your customers had indicated some growth in activity. Can you talk about how you think about capital allocation for next year, whether it is, you mentioned drilling, cementing but also on the frac side for '19 versus potentially doing some sort of share buyback or a return of capital?
Dale Redman: Praveen, I can tell you, that's a topic here on a weekly basis. And just I know we sound like a broken record but all of those options are on the table. We are discussing all of those with the plan for 2019, Praveen, are ready to announce anything today.
Praveen Narra: And one last one from me just on the efficiencies can you just give us an update on zipper frac percentages and maybe stages uplift quarter-over-quarter?
Dale Redman: Zipper frac quarter-over-quarter went from 74% in Q2 to 84% in Q3. Total stage is pump was actually up 2%.
Operator: Our next question will come from George O'Leary of Tudor, Pickering, Holt & Co.
George O'Leary: Following on to Praveen's question and I appreciate the color on zipper fracs in stages. You guys have also talked about hours pumped being a key metric to watch. So, just curious where you sit on an hours pumped per day per month basis. However, you guys frame it and how that trended quarter-over-quarter to get a gauge. I understand some of your fleets -- more of your fleets are operating in the Delaware, and that's a little bit of a different animal, so maybe stepping back from stages and thinking about hours, any color there would be super helpful?
Dale Redman: It was up just slightly quarter-over-quarter from Q2 to Q3.
George O'Leary: And then, you mentioned the maintenance CapEx initiatives that you guys have put in place, you talked about those a little bit, but what's specifically are you guys focused on to reduce maintenance CapEx levels? Is it mostly just things on the consumable side like valves and seats, fluid ends or is it more broad than that?
Dale Redman: Well, I think, it's broad as far as trying to affect all the component parts of these pump trailers. Obviously, the highest emphasis that we've got is on the fluid end side of the equation. So, I can tell you that, if you look at our numbers that were in the release that loss on sale that as you guys have found in does relate primarily to fluid ends was actually down directionally quarter-over-quarter by about 14%. I can tell you the total maintenance CapEx quarter-over-quarter from Q2 to Q3 was actually down 10% in absolute dollars. So, directionally, it's heading exactly where we guided to on the Q2 call. Q2 was something of a spike. It's heading in the right direction. I can tell you it's pretty early in Q4, yet to draw any conclusions, but the evidence we have thus far, we believe that trend will continue through the end of 2018. With all that said, historically, we have guided to the idea that maintenance CapEx should be projected for us somewhere in the neighborhood of 6% of revenue. And that's with normalized pricing. With the effect of regional sand on our top line you really kind of have a new normal and based upon being driven by that significant change to our top line with the regional sand. And in addition to that, the intensity of the work, and that we're working right now, we will probably change our guidance up from that 6% of revenue to 7% of revenue on a prospective basis. And I can tell you that for total year 2018 the numbers should come in just a tick above that 7% number, but prospectively that's how I would forecast it.
George O'Leary: The cementing side of the business is an area you guys keep making just kind of incremental investments and Dale, I wonder, if you could talk about that market a little bit and what you're seeing on the cementing side, giving us more of a relation tied to well count, but it's more of a well construction oriented business. What you're seeing from an activity from a pricing standpoint and then maybe could you frame the relative size of the cementing revenues within that pressure pumping segment?
Dale Redman: Well, I'll let Jeff size the revenue in that segment. I'll speak a little bit to the business itself. It's really, really strong, the demand is strong, rig activity is everybody sees is still strong, and we try to have the same type operating powers there and that space that nobody is waiting on seeing them on locations and rigs that we're serving. So, we just see a very clear path to continue to organically grow that business at payback metrics that are better than our frac fleets and margins that are a little better as well, but really good team, really good customers, the same methodology in that space.
Jeff Smith: As far as the payback metrics on those incremental cementing units we're probably generating about $500,000 of additional revenue per month out of each one of those units at 25% to 30% margins which equates the payback with some two years probably 18 months to 24 months.
Operator: The next question will come from James Wicklund of Credit Suisse.
James Wicklund: I'm reminded of a saying, it ain't bragging if it's true. And you guys have definitely delivered in the face of a great deal of skepticism and so on. Congratulations. You did a great job in terms of margin, I'm wondering, we keep telling about other pressure pumping spreads getting laid down obviously spot pricing is down from where it was a couple of quarters ago. Does the overall slowdown in spot price pressure cause any of your customers to try and renegotiate your pricing down or they try to get it in the other economic concessions from you. Has there been any follow-through if you would on the industry slowdown and reduction in EBITDA per spread per year. However, whatever metric we want to use. Have you seen that in your customer base or are you that insulated from it?
Dale Redman: Very confusing for all involved in the space. But I guess there's a lot of ways to answer that performance and efficiency on location drops price, and my point there, there has been softness and in some areas this customer base we have, I mean, you know the acreage position, you know what they've done and these folks are going to be disciplined and they're going to develop that acreage and they're moving to manufacturing mode. If you're making their well economics and you've heard me talk about well-being in line with the well economics of our customers. We are constantly making sure we're within those well economics and if you look at how we methodically priced our growth through the recovery, we've been very transparent and the payback metrics we've got to have to take care of this equipment, and keep the best people on location. I don't know how we can be more clear with how we've planned and developed and built this platform and I think it's going to continue, 2018 is going to be over soon. I think everybody in the industry knows 2019. It's going to be a very, very busy and exciting year. And the guys that are looking at these acreage positions and developing over the next decades, they're looking at this much different, and they're partnering and teaming up with people that are going to be here and plan their business to be here for that time frame. So, that may not have answered your question, but that's how we're viewing this situation.
James Wicklund: Well, the reality is the reality, and so that was actually a very good explanation, so I appreciate it. My follow-up if I could, you know the relationship you have with your customers are obviously very good, the customers you're working for are obviously pretty big, they have operations in places other than the Permian. Is the customer contact a different one? Is the contact and all coming high now. What stopped you so far, I mean, taking your Permian business model why don't you get dragged by some of your better customers to other basins to work as good if you are, if it was me and you are doing this kind of a backing job for me in the Permian, I'd be real tempted to take up for the Bakken and have you show people up there how to do it as well why doesn't that happen?
Dale Redman: Well, I mean, first of all look at the customer base and who we serve and where they have acreage position other places. So, there's probably not many that are operating outside this base and the other thing, I would say, Jim there's not a better place to do what we do than here. And the reason we're getting the results we're getting quarter-over-quarter and being able to build the platform and manage our business is because of where we're focused right now, there will be a time of we have no doubt, we can go anywhere and perform this work, that's not the issue. It's just a fact we still got a lot to do here and a lot to build out here and we want to win here every day, so nothing precludes us from going anywhere at all.
James Wicklund: But I leave your backyard, if it's not finished yet. I understand. And if I could, one follow-up, I know we haven't said budgets for 2019 yet, but you talk about being a busier year, we all expected definitely will be a busy second half of the year at least. Can you give us a broad idea of what the preliminary discussion might be about how much additional horsepower you could or should or will put back to work through 2019?
Dale Redman: Yes, we can't really give you guidance on that, I can tell you we're having discussions and have been in discussions for several months , and those budgets are coming together with our customers, we're going to try to provide what we can, but I think it's too early to talk about that. Are there a lot of opportunities for growth, yes. Are we going to stay disciplined and use our balance sheet as the throttle as we have this whole time, yes. But we are not giving guidance to adding any capacity at this time, but there will be a lot of opportunity for growth in 2019.
Operator: [Operator Instructions] Our next question will come from John Daniel of Simmons Energy.
John Daniel: On 2019, are your existing customers asking for incremental fleet next year?
Dale Redman: We have enough visibility, there will be added needs to our existing customer base.
John Daniel: Do you anticipate that those added needs are you're displacing one of your lesser performing peers or they're expanding their operations?
Dale Redman: So, I think, it's probably a combination, but if you look at what's happened within our customer base. There has been some pretty good sized acquisitions.
John Daniel: Yes.
Dale Redman: So, it will be a combination of all the above from a growth opportunity.
John Daniel: And then to help better manage expectations for Q4, not that it really matters that much. But I think you said, you might have a loss of one to two percentage points on utilization, that doesn't sound like very much given the holiday impacts etcetera. Can you just -- is that right only 1% to 2% in utilization?
Jeff Smith: Yes, just to clarify that, I think, that what we lost -- even in Q3, I can tell you, we lost a point or two of utilization based upon primarily us running up the back of a drilling rigs. So, the frac efficiency factor that a lot of people have talked about, it did affect us even slightly in Q3. We would expect that probably to continue into Q4. And then you would probably layer on top of that, the normal seasonal effects of holiday time and weather.
Operator: Our next question will come from Chase Mulvehill of Bank of America Merrill Lynch.
Chase Mulvehill: I guess to follow-up on JD's question; if we think about utilization you said you know a couple of points hit the utilization. It didn't sound like a lot, but you kind of quantify that. I don't know could you maybe translate that into stage count. If I look at my model that kind of says more or less flattish stage count given you've got a fleet coming in, the fleet that came in October. So, help me understand and translate that into stage count?
Dale Redman: Well, I mean, all I can tell you is Q3, we had a slight increase in total stages pumped and a slight increase in stages pumped per fleet. Okay, so I can tell you that what we've probably would have expected absent the effect of the frac fleet efficiency factor that I just talked about. We might have seen those actually increase even a little bit more. But that didn't transpire in Q3. In Q4, I would say, it would be that same effect, but whatever you want to presume for seasonality of weather and holiday time, I will say, holiday time this year contrary to last year we're planning on being, we're up -- we'll be down something that is comparable to our competitors whereas last year we probably were down a little bit longer than our competitors. So, I can't actually translate that into specific numbers, but it won't be as dramatic as it was in 2017.
Chase Mulvehill: And then, when we think about kind of revenue per stage in the fourth quarter; can you talk maybe about the moving pieces as you see it with sand versus have you had any kind of renegotiations on price openers for some of your dedicated fleets. Just maybe some progression on revenue per stage in the fourth quarter would be helpful?
Dale Redman: Well, the primary driver for revenue per stage in Q4 is going to be the -- a continuation of the effect that we had in Q3 and that's we're anticipating pricing is going to be flat. But you're going to have the effect of even a higher percentage of regional sand affecting that top line. We were 57% in Q3, not exactly sure where that number is going to go to in Q4. The one thing we do know is it's going to go higher than 57%. So, you're going to get the continuing effect of that. You know, if you had a fleet that was 100% Northern White sand in the previous quarter and switches do a 100% regional sand in the next quarter. Sand, in normalized pricing with Northern White was 30% to 35% of our ticket. You're talking about using sand now that is 50% to 60% less in cost. So, that in theory would translate to a 15% to 20% affected the top line in a case where you want a 100% change from Northern White to Regional.
Chase Mulvehill: And then zipper fracs in the fourth quarter, they are really strong in the third quarter. Are you seeing anything so far in October in early November that would indicate that your zipper frac mix would slide lower in the fourth quarter?
Dale Redman: I would say, we would anticipate if you're relatively flat for Q4 over Q3.
Chase Mulvehill: And then as we translate all this and think about your pressure pumping EBITDA per fleet. What's your outlook for the fourth quarter for EBITDA per fleet, I mean, is it flat, down, up?
Jeff Smith: Given the effects of seasonality. We would suspect that it would be down slightly.
Chase Mulvehill: And outlook for the loss on disposal in the fourth quarter?
Jeff Smith: I mean, I guess, I would hope that it would be somewhere in a comfortable of what we had in Q3 may be down a little bit, if you end up with a little bit less activity based upon the seasonality of the quarter. You might expect it to be down slightly.
Chase Mulvehill: And then on sand contracts, do you have any sand contracts that cause you heartburn?
Jeff Smith: No, we work very, very hard to contract enough sand where we feel confident that we have access to supply without locking ourselves into take or pay situations. And at the same time have enough leeway to take advantage of spot pricing hopefully and when it's in a downturn.
Chase Mulvehill: All right. Last one and I'll turn it back over. On the maintenance CapEx, you said, it was down 10% in 3Q. What percent of revenues was maintenance CapEx in 3Q. And then where do you expect this to fall in fourth quarter on a percentage of revenues?
Jeff Smith: We're changing our guidance to the 7% number and I can tell you in Q3. It was probably just a tick above that 7%.
Chase Mulvehill: Okay, and of that tick above 7%, how much of that was fluid ends?
Jeff Smith: Fluid ends is typically above 50% of our maintenance CapEx number.
Operator: Our next question will come from Blake Gendron of Wolfe research.
Blake Gendron: I just wanted to hone in a little bit more on the R&M side of the story. It seems like we're going to see a lot of pull forward among your competitors probably athlete time for somebody blow somebody up I guess. When you think about your operations specifically in the Delaware, we've heard within basin pressure pumpers are rotating equipment as sort of backups that are basically a refurb or backup many crew that just kind of rotates around pads. Is that how you guys view your operations set between Midland and Delaware and then how does that impact, I guess, R&M moving forward. Are you better able to maintenance of equipment in a predictive manner. Are you still pretty reactionary on site?
Dale Redman: I think that the same model that we've built the company with primarily in the Midland Basin is the same in the Delaware. And our approach to equipment is not any different than it's been historically.
Blake Gendron: And then just talking about the efficiencies you mentioned running into rigs, your customers tend to not build up ducks all that much which seems to be a tailwind. As the market softens here into year-end, but as you think about the risks to efficiency in 2019 as we move into development mode. How do you frame the conversation with your customers to mitigate some of the risk of potentially running back into the rigs. Or is the demand in 2019 going to be such that you can just find spot work in between your main customers getting their pads ready?
Dale Redman: Blake, I think the people that we work for they are so efficient and have done such a great job on the drilling side that's not a concern for ProPetro with the customer base we serve.
Jeff Smith: Yes, to the extent, I've mentioned in Q3, you probably had a little bit of an effect of that. But what -- to-date anyway what we've been able to do is either find spot work for some of that equipment if it's down based upon that or we've been able to reallocate some of those fleets among our existing customer base that may need a little bit of help to fill in.
Blake Gendron: Okay, understood. And then the last one, could you just remind us what the split is between Delaware and Midland? And then you go into growth mode again in 2019, how do you think about adequate scale with respect to those two sub-basins?
Dale Redman: Obviously, we've got 15 or 16 in the Midland and four in the Delaware presently. How that plays out over time will be dictated by the customers that we serve and how they allocate assets to develop that acreage position and that's how we'll continue to run the business. Obviously, you can see the growth opportunity that I've talked about since becoming public of how we can scale this and the opportunity that exist out there to expand the size of the company. Growth is not an issue going forward for pump.
Operator: [Operator Instructions] Our next question will come from Ken Sill of SunTrust.
Ken Sill: I know how hard it is to do what you guys are doing. So it's pretty impressive. So, one question on the guidance. You said it's not going to be as bad as last year, last year you had a pretty significant drop in EBITDA per fleet sequentially. So a couple of points down, a little bit revenue lower on lower sand, definitely maybe, I mean, I'm assuming we're talking about four or five days off for holidays. We're talking about a couple hundred thousand of EBITDA per quarter drop sequentially or you are seeing not as bad as last year which was more like 600,000, 700,000?
Dale Redman: Yes, I think, what we were talking about, we just, we don't plan on having as much vacation time that we extended because of what our people had done last year and we rewarded them. And looking at how the holiday's land this year, a little different, and we've been a little more collaborative with our customers, Ken. So it's very fluid to gas, we're off to a really strong 4Q and excited about it and we'll deal with those things as they come.
Ken Sill: Well, hopefully people won't care about 4Q anyway because the outlook is much better. So, we've got this temporary lull and everybody is debating, how fast things are going to come back. Is this having any impact on kind of equipment suppliers in terms of, if you were to go try to add some capacity or lead time shorter than they were, are we still looking at you know five to six months to build and grew up a fleet if you go back?
Dale Redman: Ken, I think, that still holds true with our supplier and that we wouldn't probably move from that five to six month time-frame.
Ken Sill: So, where we are today, it would be more, you're looking, if things are getting better you probably wouldn't model that in until Q3 or late Q2?
Dale Redman: Yes, that's fair.
Ken Sill: Most of the modeling questions have asked and so I'll let somebody else ask if there's anymore. Thanks.
Operator: Our next question will come from Kurt Hallead of RBC.
Kurt Hallead: So, I'm kind of curious right as we head into 2019 and as you guys have your discussions with your customer base, what are the top three hot button topics that your customers have, maybe in general, but then more specifically as it relates to their expectations for vendor performance or frac performance going into next year, and if I were to ask for maybe one extension to that would be, how have those hot button topics evolved and changed?
Dale Redman: Kurt, the collaborative efforts we have with our customers have not changed. The question is when can you get it here if we need it and that's about the extent of those conversations.
Kurt Hallead: So, there's no other dynamics, just we got to get cracking, we got a lot of stuff to do. We need somebody who is going to be able to get here when they say they're going to get here and get the job done and be reliable. So, there have been really no shifts at all in what the E&B companies are expecting from their vendors?
Dale Redman: No, to us specifically, no change in narrative.
Kurt Hallead: So, you've referenced a couple different times on answers to varying questions so far that growth is not an issue for pump going into next year, and obviously not committing to any kind of a fleet expansion or anything along those lines. And I can respect that and understand that, but beyond the fleet expansion right, growth would have to go through M&A or unless you think that there is more that could be squeezed from your current fleet dynamics. So, I just wonder, if you can kind of maybe put some of that in context. Is there more that could be squeezed from a utilization standpoint from your current assets that could drive growth?
Dale Redman: Maybe a little bit and then that comes in zipper fracs and paying it 84%, we still have room to go there. And that's probably where that can move to, obviously, 90 plus percent gets us more of that squeezes somewhat as you put. No, go ahead.
Kurt Hallead: Okay. Maybe for Jeff right. Jeff, you provided some really good color on the sand dynamics and the impact on revenue as it relates. How should we think about the flow through on EBITDA or operating income as it relates to this mix shift on frac sand? What's the ultimate impact at that level for pump?
Jeff Smith: Well, a lot of the benefit we got going from Q2 to Q3 had to do with a lot more of our contracted sand coming online, the contracted sand is at a lower price than what spot price was certainly back in Q2. That coupled with spot pricing itself actually declining substantially in the last several months, all contributed to that margin growth that we had in Q3. I would say given that the average price we've paid for regional sand in Q3, there's probably still a little bit more room to go on that benefit, but it won't be nearly the trajectory of the impact you saw from Q2 to Q3.
Kurt Hallead: I've been reading some material here lately that was suggesting that the infrastructure dynamics in the Permian have improved and the ability to get around the logistics and so on have improved, you guys live it, breathe it every single day. I wonder if you can give us some updates on whether you're seeing an improvement in infrastructure and the ability to get from job to job?
Jeff Smith: Yes, we've never had much of that issue at all. So, we're not one of those that we're probably struggling with that from a logistics standpoint. Obviously, it's a lot more active here and there are a lot more people on the roads and a lot of activity, but as far as affecting our ability to operate in and do what we do, we're not having problems there.
Operator: Ladies and gentlemen, this will conclude our question-and-answer session. At this time, I'd like to turn the conference back over to Mr. Dale Redman for any closing remarks.
Dale Redman: Thank you, Ma'am. I just really want to express our sincere thanks to our people, our customers, our supply chain partners, and our stakeholders for another great quarter. And I appreciate your support, all your hard work and efforts and have a good day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.